Operator: Dear ladies and gentlemen, welcome to the HUGO BOSS Conference Call Full Year 2020 Results. As a reminder, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions via the telephone lines. May I now hand you over to Christian Stohr, Vice President of Investor Relations, who will lead you through this conference. Please go ahead.
Christian Stohr: Yes. Good morning, everyone, and welcome to our full year 2022 financial results presentation. Today's conference call will be hosted by Daniel Grieder, CEO of HUGO BOSS; Yves Muller, CFO and COO. Before I hand over to Daniel, allow me to remind you that just like in the past, all revenue-related growth rates will be discussed on a currency adjusted basis. And I would like to remind you that during the Q&A session, we kindly ask you to limit your questions to a maximum of two. So let's get started, and over to you, Daniel.
Daniel Grieder: Thank you, Christian, and good morning, everyone. Thanks for joining our call today. Today's conference call is quite a special one. It's special because we look back at the first full year of successfully executing our CLAIM 5 strategy. And it's special because in 2022, we achieved record sales and exceeded the EUR3 billion mark for the first time in our company history. Today's presentation will therefore focus on the strong progress we have made when it comes to executing CLAIM 5. In the next 20 minutes, I will look back at many of our strategic initiatives that contributed in the success of HUGO BOSS in the last year. And I will also touch on some current and upcoming initiatives that will support our momentum going forward. Afterwards, Yves will present you all the details when it comes to our excellent financial performance in 2022 and walk you through our outlook for the current year. So let's get right to the point. As we told you in August 2021, CLAIM 5 is a strategy that is fully focused on today's consumer. Our clear goal is to anchor our position in consumers' minds and significantly boost brand relevance, particularly among millennials for BOSS and genset for HUGO. And it's a strategy that makes our company stronger and more resilient than ever before as we exploit our many growth opportunities in the demanded yet sustainable manner. Already to-date, only 18 months later, we can clearly say that we have introduced the right strategy at the right time. Our strong comeback is a clear testament to our power and strange of CLAIM 5. It enables us to unlock the full potential of HUGO BOSS. Thanks to our powerful and rigorous execution, we have achieved significant progress with a short period of time and made a real kick start. In doing so, 2022 marks an extremely successful year and the first important milestones along our 2025 growth journey. Above all, our bold brand refresh initiated in January 2022, impressively full brand power of BOSS and HUGO, enabling us to successfully expand market share all around the globe. This led to record sales for HUGO BOSS of EUR3.7 billion in 2022. Most importantly, and fully in line with CLAIM 5, our momentum was broad-based. We increased sales noticeably across both brands, all regions and all consumer touch points. And it was coupled with significant profitability improvements with EBIT amounting up to a strong level of EUR335 million, corresponding to an EBIT margin of 9.2%. Let me, therefore, walk you through our key strategic highlights, starting with a closer look at our brands. In 2022, we ushered in a whole new area with our highly successful brand refresh. Thanks to the launch of record breaking campaigns, we quickly and strongly boosted brand power, putting BOSS and HUGO into the spotlight more than ever before. And thanks to our fantastic international and adverse all-star cast, we created huge excitements on social media, attracting consumers from all over the world. This has led to a staggering brand momentum with more than 50 billion views and almost 2 billion engagements. Most importantly, BOSS and HUGO now have a new modern brand identity focused on a younger and more global demographic. In light of our brands, new image and supported by numbers, spectacular fashion events, we kept up the pace throughout the year. To name only a few of my personal highlights. For BOSS, we hosted unique fashion events in Dubai Desert and at the Milan Fashion Week, while also celebrating strong comeback at Formula 1 as the official partner of Aston Martin and the slopes of the legendary Hahnenkamm Race. At the same time, we rode the festival wave in Palm Springs with HUGO and generated additional excitement in Milan. And I'm pleased to report that our brand investments have yield strong results. In 2022, our brand managed to outgrow all relevant competitors on social media. With around 1.5 million new followers, BOSS was by far the fastest-growing premium apparel brand on Instagram. And HUGO left all other brands behind on TikTok underpinned by an extremely strong increase in followers growing over 900%. On top of that, we also outperformed key competitors in terms of engagement rates up triple-digits for both our brands. This is strong evidence for our search in brand heat and our increased relevance among younger consumers. Equally, if not more importantly, both our brands recorded significant double-digit sales increase in 2022, driven by the successful brand refresh, our BOSS Menswear business grew a strong 27%, while BOSS Womenswear business was up 21% year-on-year. HUGO was in no way behind, also recording significantly sales increase of 27%. What strikes me most is the fact that growth was well balanced with double-digit improvements across all wearing occasions from formalwear to casualwear to shoes as well as accessories. This, in turn, means that we have been able to make strong strides towards our goal of being a true 24/7 lifestyle brand. Following all these brand success in the past, we are fully committed to keep up the hype also in 2023. And without spoiling too much, let me be clear in saying that we have a lot of exciting initiatives in the pipeline to further fuel brand relevance over the next couple of quarters. Only a few weeks ago, we launched our latest global campaigns with for spring/summer 2023, including superstars such as s Naomi Campbell, Gigi Hadid, Lee Min-ho, and Bella Poarch. And I can assure you that also these campaigns are performing already extremely well. We continue to dominate social media with 5 billion social media impressions in only six weeks, clearly speaking for themselves. But that's not all, to keep momentum going already next week on March 15, BOSS will host a spectacular See Now Buy Now event in Miami. So stay tuned, please. With our strong and diverse product mix already today we fully live up to our promise to address customers from head to toe and for every occasion, no matter what they do, no matter when. Our new spring/summer collection are once more fully embodying our new and unique look and feel as well as our superior price value proposition. The very positive response to our new brand identity has led to strong improvements in full price sales in 2022 and ongoing high demand from wholesale partners and customers alike. With the successful relaunch of BOSS Black, Orange and Green and the introduction of the exclusive BOSS Camel line, we are perfectly decision to leverage our brand's huge potential in the years to come. HUGO, the first touch points for younger consumers will seamlessly follow on as we continue to grasp opportunities across various important product categories including denim, jersey and outerwear. In order to fuel excitement and brand heat, we continue to team up with inspiring personalities and strong brands. To give you some examples, in 2022, we teamed up with our brand ambassadors Khaby Lame, Matteo Berrettini, and Alica Schmidt, launching several capsule collections that were true celebration of co-creation and style. And in January this year, we continued seamlessly as BOSS collaboration for the exclusive collection with an upcoming skiwear brand Perfect Moment. Most recently, we also unveiled our latest collection co-created with Porsche that Porsche that was presented by Columbian superstar Maluma. Also, HUGO celebrated huge success last year. Together with Japanese streetwear brand Mr. Bathing Ape and Italian denim specialist Replay, HUGO had Gen Z buzzing all year long. Importantly, in today's world, collaboration also spend into the digital world. On that, I'm excited that HUGO entered that Metaverse with a bang last year, launching its first NFT collection entitled Embrace Your Emotion. Our effort in the Metaverse are clearly just one example of how we want to become the leading premium tech-driven, fashion platform worldwide. To lead in digital, we will continue to digitalize all our business activities and maintain a strong focus on leveraging the power of data. Our HUGO BOSS Digital Campus is at the core of our digital journey. One of the top priorities is to maximize the use of data analytics going forward. The campuses meanwhile is fully operational and will be a key enabler to make us smarter, faster and more efficient. This includes initiatives such as reducing collection complexity or implementing smart pricing, all aim at enhancing operational efficiency. And not to forget, with the help of our digital campus, we will also link digital and physical commerce even more closely in the years to come to offer our customers a best-in-class omnichannel experience. Speaking about omnichannel. In 2022, we made great strides when it comes to rebalancing our distribution footprint and creating a best class consumer experience. This includes the successful relaunch of our digital flagship hugoboss.com, in early 2022, but also most recent upgrade of the HUGO BOSS app. Our new app strongly enhanced the mobile shopping experience as it offers our customers several new functionality such as try-on function for sneakers, convenient live cat capabilities as well as seamless integration of all CRM functionality. Whether in the virtual or real world, we always pursue one goal as part of our omnichannel strategy, transferring our regain brand power to all consumer touch points. The modernization of our global store network was, therefore, a clear priority in 2022. Customers can now experience our brand refresh together with our innovative retail concept at over 200 points of sales worldwide. Our new BOSS flagship store in London's vibrant Oxford Street, which many of you had that pleasure of exploring firsthand last year of -- is of a particular note in that regard. Another good example is our BOSS store on Regent Street, which is reopened only a few weeks ago. It is further proof that we are looking taking the retail experience to the next level, brand-led consumer-centric and digital all in one. Most importantly, we are pleased with the performance of our new store concept. The improved customer experience has led to a higher level of full price sales as well as strong improvement in store productivity, up a strong 29% to a level of nearly EUR12,000 per square meter. Therefore, we will continue to push ahead with the rollout across key markets. This year alone, we plan to refurbish around 100 existing point of sales to fully reflect the brand refresh and our latest store concept. This includes among other our BOSS stores in Amsterdam, Leidsestraat and at Dubai Mall. To conclude our channel, we also celebrated an extremely successful comeback in brick-and-mortar wholesale with revenues up 33% in 2022, thanks to our 24/7 lifestyle positioning and continued robust demand from wholesale partners for our collections, we significantly improved the visibility of our brands. This enabled us to successfully expand market shares at key wholesale doors. And I'm pleased to report that the robust momentum in wholesale is set to continue as we look back at the successful order intake for the full -- for the current spring/summer and upcoming fall season. Speaking about our collections. As you know, at the heart of CLAIM 5 is an unweaving commitment to sustainability. We will not rest, but continue to drive innovation and sustainability to deliver measurable impact for our industry, the environment and society. And we are encouraged by the fact that our efforts are also being recognized externally. In late 2022, HUGO BOSS was included in the important Dow Jones Sustainable Index world for the 6 time in a row, with the second best overall score in our industry. On top of that, HUGO BOSS was named Green Ranking Champion as its core best among 50 German MDAX companies. As part of our ongoing commitment to sustainability, we are about to implement the circular business model. Only recently, we successfully launched the first BOSS Polo shirt, which is largely made from innovative and fully recyclable Ionic AeoniQ yarn. And while this is just one example of how we aim to lead change in the fashion industry, it clearly shows where we had it for the better future. Ladies and gentlemen, as you can see, in 2022, we have made a true kickstart when it comes to executing our CLAIM 5 strategy. Of course, this is just the beginning with many more initiatives and projects in the pipeline, all contributing to another successful year in 2023. Before speaking about our plans for the current year, however, let me now hand over to Yves, who will talk to you through our excellent financial performance in 2022. Yves, over to you.
Yves Muller: Thank you, Daniel, and good morning, ladies and gentlemen. Also from my side, a warm welcome to all of you. In the next 20 minutes, I will guide you through our 2022 operational and financial performance as well as our expectation for full year 2023. So let's start with a closer look at our top and bottom line performance in the last year. Thanks to the relentless execution of CLAIM 5, revenues increased strong 27% year-on-year to EUR3.7 billion, which means nothing more than record sales for our company. Compared to pre-pandemic levels, this represents an increase of 26%. Equally important, we recorded significant bottom line improvement as the strong top line performance more than compensated for ongoing investments as part of CLAIM 5. Overall, EBIT increased a strong 47% to an amount of EUR 335million, leading to an EBIT margin improvement of 100 basis points to a level of 9.2%. Supported by our stellar performance in the final quarter of the year, we, ultimately, exceeded our full year 2022 targets, which we had revised upwards twice. This is all the more remarkable considering the high level of macroeconomic and geopolitical uncertainties in 2022, including global supply chain disruptions, the implications of the war in the Ukraine and pandemic-related restrictions in China. Let's, therefore, take a closer look at our top line performance with Q4 revenues up 15% year-on-year and 29% versus pre-pandemic levels, we finished 2022 on the high, as top line momentum accelerated throughout the year. I was particularly pleased to see that growth, throughout the year, was of high quality in nature as we were able to significantly increase full price sales, thereby, compensating for external headwinds. And not to forget, those both broad-based in nature with both our brands, all regions and all channels contributing. From a regional perspective, momentum was particularly robust in EMEA and in the Americas, fueled by the successful execution of CLAIM 5 and robust consumer sentiment. In EMEA, revenues were up 32%, spurred by double-digit improvements in the U.K., France and Germany as well as an exceptionally strong performance in the Middle East. Across EMEA, we enjoyed very robust business with both local consumers as well as international tourists driving the overall momentum. Momentum was equally strong in the Americas. We achieved revenue growth of 29%, with all our markets recording strong double-digit improvements. This also includes the important U.S. market where we successfully fostered our 24/7 brand image across consumer touch points. Sales in Asia Pacific grew to 6% as significant double-digit improvement in Southeast Asia and Pacific were mostly offset by pandemic-related sales declines in Mainland China. In this context, let me also emphasize that we are quite encouraged by the most recent recovery in China following the reopening of borders and relaxation of COVID-19 restrictions. In particular, we look back at a very successful Chinese New Year with our business in Mainland China being up double digits year-on-year. We, therefore, have every reason to be confident and optimistic when it comes to the market's overall recovery in 2023. At the same time, we remain somewhat vigilant as the timing and pace of recovery remains uncertain for the time being. Let's conclude on our top line with a quick review of the performance by channel, as all consumer touch points recorded double-digit growth in 2022. Sales in brick-and-mortar retail grew a strong 29% supported by double-digit improvement in store productivity with the latter amounting up to the level of almost EUR12,000 per square meter. Brick-and-mortar wholesale revenues grew 33%, fueled by our partner's strong demand for both our brands collection. And achieving this, BOSS and HUGO were able to significantly improve market presence at key wholesale partners. And lastly, our digital business grew by a robust 15% despite a rather difficult market environment in the digital sector and despite being up against a particularly tough comparison base. This reflects both double-digit revenue increase at hugoboss.com as well as strong improvements in digital partner revenues. With this, let's now move on to the remaining P&L items. At 61.8% and on par with the prior year level, our gross margin came in at the upper end of our midterm target corridor of between 60% and 62%. As you are all aware of, there were several external factors that weighed heavily on our gross margin in 2022, including the final quarter of the year. This mainly relates to significantly elevated sourcing and freight cost levels as well as unfavorable currency movements. On top of this, we also recorded some negative channel mix effects. I am, therefore, all the more encouraged that we were able to fully offset all these factors, thanks to our high quality top line growth, underpinned by strong improvements in full price sales. And make no mistake, also in the fourth quarter, the underlying momentum in our full price business was just as strong as it was during the first nine months of the year with no signs of a slowdown in Q4. In particular, promotional activity at HUGO BOSS was well below the prior year level as we managed to reduce total price reductions in 2022 by a low to mid-single digit percentage rate. To conclude on the gross margin towards the end of the year, we also recorded the first positive impact from our pricing initiative aimed at compensating for the ongoing high level of global inflation. Moving over to operating expenses, which increased 29%, driven by our well-flagged ongoing investments into the business as part of CLAIM 5. The first and foremost includes our step-up in marketing investments, up 41% year-on-year to a level of around 8% of group sales, as well as our commitment to further invest in digital with digital investments up 15% in 2022. The latter reflects important strategic initiatives such as the buildup of our digital campus; the successful relaunch of hugoboss.com; or the global rollout of our latest series of digital showrooms. Overall, and supported by strong top line development, we brought our operating expenses down by 100 basis points to a level of 52.6% of sales, thus well below pre-pandemic levels. This development was, first and foremost, driven by strong efficiency gains in brick-and-mortar retail, down 110 basis points year-on-year and 370 basis points as compared to 2019. Finally, and as mentioned earlier, this translated into a strong 47% increase in EBIT and 53% increase in net income attributable to shareholders. In this context, a higher level of financial expenses, mainly reflecting the unfavorable development of the Russian ruble and some other currency was offset by positive one-off effects within taxes, including the usage of tax losses carried forward in the light of our strong top line momentum. Let's now turn to the balance sheet, starting with inventories, which increased 58% currency adjusted. In this context and as flagged already at the beginning of November, we intentionally increased our inventory coverage over the course of 2022 to mitigate supply chain risk as fast as possible and to ensure product availability for upcoming seasons. Importantly, the vast majority of the intentionally build up is related to current and upcoming collections as well as core merchandise that can be sold over several future seasons. And while higher goods in transit contributed to the development, please also bear in mind that our overall inventory position has been comparatively low in recent years. Now following the easing of global supply chain disruptions, we have implemented several measures to reduce inflow of core merchandise going forward as it is our clear ambition to bring down inventories as a percentage of sales. Against this backdrop, we anticipate a gradual normalization of inventories in the course of the year. And on that, let me also reiterate, once again, we remain very comfortable with the overall composition and quality of our inventories in particular, as the aging structure has further improved year-over-year. This brings me to trade net working capital with the moving average of the last four quarters, adding up to 15% of group sales well below the prior year level and somewhat lower than our midterm target range of between 16% and 19%. This development mainly reflects the significant top line growth in 2022 as well as a currency adjusted 31% increase in trade payables, thereby more than compensating for the high inventory position. Moving now over to free cash flow, which amounted to EUR166 million as improvements in EBIT were more than offset by the intentional increase in inventories as well as higher CapEx, adding up to EUR191 million. The latter aimed at supporting the successful execution of CLAIM 5. In particular, we accelerated our investments in brick-and-mortar retail as we opened 38 new freestanding stores in 2022 while also remodeled more than 100 points of sale to reflect our brand's new look and feel. Importantly, regarding our target of generating cumulative free cash flow of EUR2 billion by 2025, we remain fully on track given last year's record level of free cash flow and our confidence to be able to strongly reaccelerate cash flow generation starting this year already. Last but not least, and excluding the impact of IFRS 16, our net financial position reached a strong level of EUR38 million at the end of 2022. This, in turn, means that just like in the prior year, we were not only debt free, but effectively cash rich at year-end, providing us with a strong foundation and further flexibility when it comes to investing in the years to come. In view of the outstanding operational performance in 2022, our very robust financial stance and our confidence in the continued success of CLAIM 5, we will propose a dividend of EUR1 per share for fiscal year 2022. This represents a payout of 33%, fully in line with our target payout range of 30% to 50%. Ladies and gentlemen, let's now move over to our expectations for the current fiscal year, a year that is set to be a further important milestone in achieving our 2025 financial ambition. At the same time, however, we must not -- know the fact that current macroeconomics and geopolitical uncertainties will remain elevated for the time being. This will weigh on industry growth in 2023. Nevertheless, at HUGO BOSS, we are fully committed to maintaining our robust topline momentum. By building on our superior brand power gained in 2022, we once more aim for outperforming our industry and capturing further market shares. In this context, the determined and relentless execution of CLAIM 5 will once again take center stage. Also this year, our many initiatives will focus on winning over the consumer through impressive marketing campaigns, exciting brand events and inspiring collections. We will continue to invest into brand building activities and our product offering to further drive brand relevance and strengthen the 24/7 lifestyle images of BOSS and HUGO. In addition, we will push ahead with the digitization of our business model and make further progress in expanding our omnichannel activities, including the modernization of our global store network. Our initiatives will provide further stimulus and ensure we are fostering our top line momentum, thereby taking a further important steps towards our 2025 sales target of EUR4 billion. At the same time, we will continue to put strong emphasis on realizing efficiency gains also in 2023, particularly via the ongoing optimization of our global store network. This will allow us to make further progress also this year towards our 2025 EBIT margin target of 12%. So let's take a closer look at our outlook for fiscal year 2023, starting with our top line ambition, where we expect group sales in 2023 to increase at a mid-single digit percentage rate to an amount of between EUR3.8 billion and EUR3.9 billion (ph). Importantly, and similar to last year, we expect growth to be again broad-based in nature as we aim to increase revenues across both brands, all regions and all channels also this year. On that note, I'm very pleased to report that we recorded a highly encouraging start to the year with robust momentum around the globe and no signs of broader slowdown in consumer demand. This brings me to our bottom line expectations as we forecast EBIT to increase within the range of 5% and 12% to a level of between EUR350 million and EUR375 million in fiscal year 2023. This development will be driven by the anticipated mid-single digit top line growth and at least stable gross margin development as well as ongoing initiatives to realize further efficiency gains, in particular when it comes to brick-and-mortar retail. The latter will help us to compensate further investments planned for 2023 as part of CLAIM 5. Ladies and gentlemen, this concludes my part of today's presentation. I'm now very happy to hand you over back to Daniel for some closing remarks before opening the floor to your questions.
Daniel Grieder: Thank you, Yves. Ladies and gentlemen, 2022 was without doubt, a huge success for HUGO BOSS in many respects. Despite all these strong achievements, however, we must not forget that the past year was anything but normal and has significantly changed the lives of many people around the globe. In particular, the devastating war in the Ukraine has led to immense hardship per many, while also the ongoing implications of the pandemic as well as high global inflation have challenged people's life and companies alike. Given all these challenges, our strong performance in 2022 is all the more remarkable. And while macroeconomic uncertainties are likely to remain high also this year, we are fully committed to making further progress towards our 2025 financial ambition. At HUGO BOSS, we are all set for future top and bottom line growth. The rigorous execution of CLAIM 5 will continue to take center stage, and we will not rest. Instead, we will further drive our strong brand power to maintain our robust momentum. Together as a team, we will continue with all our power and all our passion towards our ambition to ultimately become one of the top 100 global brands. Thanks to our excellent team and our winning formula, CLAIM 5, I have every confidence that 2023 will be another successful year for HUGO BOSS. And with this, we are now very happy to take your questions.
Operator: Thank you. Now we will begin our question-and-answer session. [Operator Instructions] And the first question comes from Manjari Dhar from RBC. Please go ahead.
Manjari Dhar: Hi. Good morning, Daniel and Yves. Thank you for taking my questions. I just had two, if I may. Firstly, on the full price sales mix, are you happy with the current level or do you still see potential for this to improve beyond what you saw in 2022? And related to that, given the margin headwinds across 2022, is there now a potential to exceed that 62% upper end of the threshold in the medium term? And then secondly, could you please give some color on the wholesale order books and the recent trends you've been seeing from partners there? Thank you.
Christian Stohr: Hello, can you hear us?
Manjari Dhar: Hello? Can you hear me?
Christian Stohr: I'll be back in, Manjari, I'm so sorry. I guess we lost you. We got the first question, which was on full price sales and the potential that we might be seeing going forward. And related to that, I think you had a question on gross margin, which -- whether there's an opportunity to outperform our 62% corridor, and then we lost you. So if there was anything related to that, that we didn't get, please repeat that for us. And sorry for that again.
Manjari Dhar: Sorry, the second question was, could you give some color on the wholesale order books and any recent trends you're seeing from partners there? Thank you.
Yves Muller: Yeah. Good morning, Manjari. Thank you very much. I will take your questions. So clearly, first of all, to put everything into perspective, we finished the year 2022 with a gross margin at 61.8%, which was on par with the 2021 performance. So this means on the other side that we are now at the upper end of our midterm guidance between 60% and 62%. And clearly, if we talk about 2022, there was a strong effect coming from full price sell-through and less markdowns, while they were clearly compensating compensated by a strong freight cost increase and especially currency-related development, weaker euro that -- especially against the U.S. dollar, that was a negative for the gross margin development. So actually, going forward for 2023, we see already that especially for the second half of the year that the higher freight costs would somehow fade away. We will see a price increase that we introduced for the pre-fall so that will hit the retail environment already in May. We will see that the U.S. dollar versus the euro will give us some relief as well in the second half. So there are some positive signs that we might go beyond the 62% in terms of gross margin, especially in the second half of the year. And regarding wholesale orders, we said it during our presentation, we are actually very happy with the order intake that we had for the pre-fall and for the fall winter and yes. And this is nothing more to add to this, but we are very happy.
Manjari Dhar: Okay. Thanks very much.
Operator: We are now going over to our next question. Our next question comes from Jurgen Kolb from Kepler Cheuvreux. Please go ahead.
Jurgen Kolb: Yes. Good morning, guys. Thanks very much. A couple of questions, indeed. First of all, on your own production facilities in ISMEA. Could you please update us on the current status did you already ramp it up to the level you're comfortable with or is there more to come this year, first one? Second one on all the campaigns and fashion shows that you did in 2022, are there additional events, campaigns planned in 2023 or is that pretty much comparable as to your activities that we had last year? And last question, number three, if I may. The collapse that you, again, called out, could you give us any indication as to how much contribution these are really contribute to your sales line as you, obviously, are very strong with that, and that's very brand building. But just as an indication, how relevant that is? Thank you very much.
Yves Muller: Yes. Good morning, Jurgen. Three questions. You need three goals against Napoli next week. So I will try to find the first answer. So regarding all production, so clearly, you might have noticed actually in the annual report or in the numbers of employees, we hired more than 1,000 people across the year in 2022. So there was a clear ramp-up, especially in ISMEA from the cash flow point of view. So it was a ramp up during the year. And actually, we have now the full, let's call it, run rate for the year 2023, which -- with more flexibility, especially when it comes to casualwear. So this will help us for the year 2023 and there are no further plans to expand further because we have to digest all these investments that we did now and to ramp it up. And I will hand over to the other two questions to Daniel.
Daniel Grieder: And the second question is regarding the fashion calendar the fashion shoes, the campaigns. So as you know, on the 26th of January, we started our new campaign. About -- yeah, in January, the campaign actually as such is as powerful and successful as the first campaign last year, and this is going on through the next months. We activate through various channels on social media, always fuel with new information. And actually, this is ongoing for the next three months. On top of that, next week, on the 15th of March, we have our next fashion show or fashion event, I should say, in Miami, where we show a See Now Buy Now show. This is going to be similar as in Milan, a spectacular show, that will also further boost our brand. On top of that, we have several introduction of collaborations. We have several introduction of activations with -- also by regions because today, it's very important that you also have influencers by region, especially no matter if it is in the U.S., in Europe or in Asia. And we also have collaboration with NFL that we will launch in July, especially for the American market, but it's ongoing. And you mentioned -- and that goes fluently into the third question about collaborations. Collaborations are two parts. First of all, it's a brand-enhancing goal that we have to make it interesting also for an additional younger crowd sometimes. But sometimes it's also creating quite a part of turnover. And for example, when you take our Porsche collaboration, which we have already in place for a few years, this is getting big, but it's never comparable to our product lines, our BAUs that we have implemented. So this is, again, more a brand enhancing power, more marketing power that we have in place. So far, we think all these calibrations are quite successful. It depends always the name you use. And also for 2023, we have quite some in the pipeline that will further enhance the brand.
Jurgen Kolb: Very good. Helpful. Thanks very much, guys. All the best.
Yves Muller: Thank you.
Operator: We're now going over to our next question. Our next question comes from Kathryn Parker from Jefferies. Please go ahead.
Kathryn Parker: Good morning and thank you for taking my questions. So I've got two. My first question is on the store network and the freestanding stores. And I can see that you opened quite a few in Q4 and your currently up to about 470 as of 2022. In the strategic plan, you marked a net closure of 50 stores to get down to 400. And I wondered if this is still the strategy that you're pursuing and if we'll see a greater number of closures in 2023? And then my second question is on the penetration of digital. So 2022, it was around -- sorry, can you hear me?
Christian Stohr: Yes, we can hear you. Sorry, we couldn't hear you for a second, Kathryn, but we could hear you -- the question was about digital penetration, if I got it right? Sorry please continue.
Kathryn Parker: Yeah. So in 2022, it was 18%. And I know that the strategic target of 25% to 30%. And I'm just wondering, now that you've got your whole set of global website, what's going to drive the uplift in penetration to this higher figure. Thank you.
Yves Muller: So thank you very much Kathryn for your two questions. The first question was related to the store network. Perhaps my first comment would be -- so overall, if you look at 2022, just to get it right, there was a high like-for-like growth, if you may say, because we could really increase the store productivity by a high 20s to now close to EUR12,000 per square with stock productivity. And actually, the space that we gained overall in 2022 was around 5%, so to say somehow to split this. You are overall right that we are now at 471 freestanding stores. And we said during CLAIM 5 that we might get it reduced to 400. On the other side, we might have to revisit this kind of number during the course of this year. First is an update to CLAIM 5 because we see actually that the store productivity, because of the investments that we're doing, the investments that we did into the brand, the investments that we did into the products plus how good the store models, store concept is working, that we really get the store productivity up, that there is some, I would say, some fantasy to somehow keep the overall freestanding stores more or less stable. I want to comment that actually the focus on store productivity is the right way. I think very important, I think, for you is to know that we wanted to get the brick-and-mortar fixed cost in percentage of group net sales down by 700 basis points in CLAIM 5. So from -- as you might recall from 26% in 2019, down to 19%. You have seen, and I had it in my presentation that we are now half the way. So you really can see that with the productivity gains, you see that the efficiency in brick-and-mortar retail is really going up, and this helps us in the overall profitability. So we are very happy about this overall development. And especially in some regions, especially like in China or like in the South of the U.S., we see additional opportunities to grow our store network. Your second question was related to the digital sales. Of course, as you know, we were really growing broad-based, every channel, wholesale, retail, digital, everybody was growing. We were growing 15% last year in a year where, you all know it, where the online world was a little bit suffering. So we still could maintain this in terms of double-digit growth to 15% while others were more or less flat or even declining. I think this is more a factor that we were -- like we said it, well, let's say, quarters ago, we were a little bit lagging in the digital space. That's the reason why we are investing into the digital campus. That's the reason why we are ramping up our digital investments all over the places, and there is much more to come from our perspective. So actually, we have seen on hugoboss.com the fastest growth so that we can really influence in our number and I think these are the most precious consumers at the end because the consumer we own the consumers. We have a customer lifetime value logic and hugoboss.com was fastest growing. So what are the drivers? So clearly, we have more countries to come when it comes to languages. So this year, in the second quarter -- this year, for example, Portugal and Poland, which are, today, in English, will be in local language. So there is more to come in order to invest into the conversion. And if we compare our numbers to other competitors, we still see a lot of upgrade that we can see in terms of getting the conversion up. And this will clearly drive further net sales growth in a digital environment. On top of this, we have just said that we relaunched our new app with some very interesting features regarding CRM capabilities, try-on with sneakers with the kind of mobile-first mentality for this app and this will drive further things. So clearly, we have a lot of ideas to really drive our digital sales, and this is clearly our intention to get it up to 25% plus in the next years to come, and we are well on track with our growth initiatives.
Kathryn Parker: That’s very clear. Thank you.
Operator: We are now going over to our next questions. Our next question comes from Antoine Belge from BNP. Please go ahead.
Antoine Belge: Yes. Hi. Good morning. It's Antoine, BNP Exane. So three questions. First of all, is it possible for you to comment on current trading. I think you mentioned that China being quite good. So is it fair to say that overall, you're still growing double digit at the end of February? And so is it possible to quantify a bit more the wholesale orders beyond the qualitative comments that you made? Second question is on wholesale, but it's more broadly. I think one of the change when you joined this was this idea that there was nothing bad in wholesale, and you regain a lot of shelf space within department store. So do you think that you found the right balance? And what are the projects for wholesale in 2023? And third question, regarding the sort of medium-term target. of reaching EUR4 billion in sales and 12% EBIT margin, I think EUR4 billion should be, if not reached this year than next year. So EBIT in advance, it seems that reaching 12% might not be coinciding with the EUR 4 billion in sales. So if you could maybe comment on this. And yes, that would be all. Thank you.
Yves Muller: So [Foreign Language] Antoine. Thank you very much for your questions. So I actually will start with current trading or just to confirm this. So actually, we had really a very strong start into the year. We are happy how we are currently trading. I think a positive surprise is clearly, from our perspective, the reopening in China, which is also spreading out in the Asian region. So we see, on a positive note, clearly that we -- that demand is very strong for the first, let's say, 65 days of our business. So we are quite happy, and we are also happy with all the wholesale orders. On the other side, I mean, we are still early in the year, as you all know. And there are some geopolitical macroeconomic uncertainties out there and that's the reason why we came up with our outlook of mid-single digit growth. So regarding your second question on the wholesale piece, I will comment on that. So the strategy is clearly on the wholesale piece that we can grow that we have actually the most opportunity or a big opportunity to grow in wholesale as wholesale is, for us, or can be the most profitable business case. We have an incredible opportunity since we integrated those brand lines lately also with BOSS Camel on the highest side, but already since 1.5 years, we have BOSS Orange and BOSS Green, Black. It's clear that we can gain market shares and space in all the department stores, no matter if we talk about the U.S., if we talk about Europe or about Asia. And even we can report today, we have already a few collections sold in and sold out. And the results are incredible. So customers are still -- our wholesale customers are still increasing the space in their stores for all the brands lately also the Camel, as I said, which is the highest. So our strategy is clearly to position all these sub-brands into the market and the department stores for men’s, but now for men, but also for women, because also there, we did test on Orange, but also on Camel. And this will help us also in womenswear to gain space. Now another part where we can grow this wholesale market is our franchisees. We have incredible, tremendous request from franchisees partner. And this for both brands for BOSS, but also for HUGO. So that clearly in the past was not a priority. But next to our full price stores, now we can really expand the interest of our franchise stores again, for both brands and for both tenders and on top also for accessories, shoes and accessories. So we clearly see wholesale as a big opportunity for the future, and we really push in a controlled way also for wholesale. So from our experience in the past, we really had a good and a very successful and profitable wholesale format in place. And we also have already implemented and further expand also in HUGO BOSS. The third question sorry is the target on 2025. If we are still on the target with the EUR4 billion and 12%, I can definitely say we don't have yet an update. We continue -- we stand what we said in CLAIM 5. It's still our aim to reach the EUR4 billion in 2025 and also the EBITDA of 12%. Maybe we are in place to give you an update on the Investor Day somewhere mid in the year, but it's too early now to give another update or any news on our target. At the moment, we are confident that we will hit our numbers, which is completely within line of CLAIM 5. And if there is any update, we will give you that maybe on the Investor Day. [Multiple Speakers]
Antoine Belge: Well, definitely will. Just maybe a clarification. So currently, in U.S. and Europe, so I understand that, as you said, it's early in the year, so who knows about the next 10 months. But short term, there is no significant change in in your trends in U.S. and Europe or are you already seeing some kind of moderation on the back of the macro?
Yves Muller: No, we can really confirm that both regions, let's call it regions at Europe and Americas, remained very strong.
Daniel Grieder: And we have to say that America was really on a strong way last year because we have implemented further distribution, especially in the department stores. As I said before, we could gain with the top lines and get more space and market shares, especially also in the U.S.
Antoine Belge: Many thanks.
Yves Muller: Thank you, Antoine.
Operator: We are now going over to the next question. And the next question comes from Thomas Chauvet from Citi. Please go ahead.
Thomas Chauvet: Good morning, Daniel and Christian. My first question on the '23 EBIT guidance. So could you explain the moving parts that drive the bottom end and the top end of our EBIT guidance? That's growing 5% to 12% on the same mid-single digit growth forecast. So -- especially marketing costs have increased towards the top line of your 7%, 8% guidance range as a percentage of sales. So I was just trying to understand how you achieved the bottom end top end on the same top line growth, what is the delta? And then a follow-up on the 2025 EBIT margin target of 12%. As Antoine earlier, flat, you seem to be a little bit behind schedule, and you'll update us this summer, so we'll wait for this. But would it be fair to say that the fact that you're probably ahead of schedule on the top line. Maybe you'll reach EUR4 billion already this year, has a consequence on your bottom line? In other words, do you feel that since the beginning of the claim presentation you've decided to push top line even further, perhaps at the expense of profitability. And just finally, a question on segment reporting and the profitability by segment, by the regions and segments on Page 103 of your annual report. So we see the 400 bps improvement in profitability for EMEA in the U.S., which is great. Asia and it’s margins a bit under pressure. And then there is this licensing pot (ph). You have EUR92 million of sales, EUR77 million of EBIT. Obviously, it's a very profitable business, as we all know. That's about 10% of group EBIT pre-central cost. But if we were looking at licensing profits as a percentage of your total EBIT of [indiscernible] of last year. How much would that represent? Would that be a lot higher? I mean, I assume there's no real cost associated to that licensing business. You need to take off this EUR77 million. It's an outsourced business. You're not managing this really. So is it fair to say that licensing is maybe close to 20% of your '22 EBIT? Thank you.
Yves Muller: So, [Foreign Language]. Thank you very much for the question. I will [Technical Difficulty] then, a question of time that Christian will answer your segment results question afterwards. So I will take the first two questions. So first of all, talking about the margin expectation, the midterm guidance, the 12%, I can clearly say that we are fully on track regarding our margin expansion. If you just look at what we have delivered so far, so we had our clear improvement of 100 basis points already in 2022. So if you look at the achievements that we did we are well on track, and we are as a management team fully committed to generate the 12% in 2025. And as we underline, we are well on track. Regarding our EBIT guidance for this year, first of all, we expect, like we said, in mid-single digit growth. We expect the gross margin at least stable for this in comparison to 2022 with a clear fantasy to go beyond the 62% like I indicated, especially from -- in the second half of the year. And I think CLAIM 5 is a clear strategy of growth, so we want to invest into marketing like we indicated last year. We were -- with marketing, at the end, we always guided we want to be between 7% to 8%. At the end, we were in, 2022, 7.9%. So a clear investment into the brand because we are operating as we all know, in a top line driven business model. And we have seen how much the investments that we did, how this somehow was reflected in the brand momentum and the brand relevance. And next, these investments are somehow then -- and we have to look at especially at the store productivity. We want to achieve some further efficiency gains, especially in brick-and-mortar retail to somehow compensate our investments that we do into marketing into the digital phase space and into the whole branding. So these are the big moving factors that we see in our guidance. And for the time being, we feel very comfortable with our profitability guidance for this year.
Thomas Vincent: Thank you. And on the licensing, so Christian will follow up?
Christian Stohr: Yes. Thomas, we'll get back to you right after this call.
Thomas Vincent: We speak later. Thank you.
Christian Stohr: We still have a lot of people in the queue.
Thomas Vincent: No problem. Thank you.
Operator: And we are going now over to our next question. Our next question comes from Chiara Battishini from JPMorgan. Please go ahead.
Chiara Battishini: Hello. Good morning. Thank you for taking my questions. I just have one small and follow-up, actually. The main question I have is, if you think about the action taken across the business in the last year and the progress also that you have made so far in terms of the product and marketing campaigns stores. In what areas do you still see the biggest outstanding opportunities that you are further accelerating this year? And also in which areas you found maybe the biggest challenges so far and where it's more difficult to actually change. And a follow-up just on the guidance. I was just wondering whether you could share what kind of China growth assumptions you have embedded in your mid-single-digit growth guidance for the year, please? Thank you.
Daniel Grieder: What kind of what assumptions, please?
Christian Stohr: China assumptions in the mid-single digit growth outlook.
Yves Muller: I start with the marketing progress. I hope I understood your question. It was a bit difficult to understand. However, as I mentioned, the opportunities in marketing are immense for us. We are also investing a fair amount into marketing, as we said. So we said we can go up to 8%. Last year, it was 7.9%. And you have seen our activities, which is very, very successful. Actually, it's a case study for many universities, how we were able to turn in that short time, the brand name and make it more relevant again. And with our first campaign Be Your Own BOSS. Now the second one, Bosses are not born, Bosses are made, which looks like the center of the end of our consumers or actually, let's call it, our fans. And because it's so authentic and it explains the story in such a way that everybody feels like engage with it, no matter which existing consumers or new consumers, it's going really wherever we go, we hit the record on all social media already. And the second campaign is even higher than the first one, which really helps us to boost the brand. And it looks like that we have an incredible story there, which will continue further into the next year all around the BOSS. But not only on the BOSS side, but also on the HUGO side, which is more for the trend set, it looks like we also found exactly the right message there, and we target a different audience or a different consumer, which is very important because we said HUGO BOSS is not a brand anymore HUGO BOSS is a platform. And on that platform, we have two brands: One is BOSS and one is HUGO and it has to have a distinguished campaign. It has to have a distinguished product and it has to have a distinguished message. And I think everything well in plan, actually ahead of plan and the whole industry and is curious how this was possible in the short. There's certain tricks and bottoms and a lot is filled with the data and coming from our digital campus because we analyze our data, our information in a completely different way than we did in the past. So we really can analyze our end consumers. We can understand and analyze what they are wearing when they are, where and how they are wearing it. And this goes all into our social platform and gives all these results.
Daniel Grieder: And Chiara, your question was, what is the underlying assumption for China in our guidance for the top line? And I can confirm like it's -- like I said in our annual report, we -- our assumption is a mid-teens growth in China.
Chiara Battishini: In line with Asia Pac?
Daniel Grieder: Yes.
Yves Muller: Yeah.
Chiara Battishini: And sorry, just -- I'm sorry if I wasn't clear in my initial question, the question was a bit broader in terms of -- if you look at the group and what have changed over the last year from a marketing, but also product perspective and stores, the use of data, where do you think you still have more to go for and where you think you are in the right place at the moment beyond marketing?
Yves Muller: Everything, product sales.
Daniel Grieder: Everything, I think we are in a complete right place. You -- in all these pillars that we said in CLAIM 5 Boost the Brand and Product is King, if you -- Boost the Brand I explained with the campaigns, but also Product is King. It's not only the top lines that we expanded, but we actually have improved all the price value of our product. We have put tremendous quality into it. And therefore, we were also able to increase the pricing, which was not a problem because the sell-through is as high as ever or actually higher. And that clearly shows that the brand is strong enough to also ask for higher prices and we really put also an effort to put better quality into it. On top of that sustainability plays a big role. And we also are putting sustainability with that and we try to find a solution for polyester and nylon, and we are investing into that and already testing a possibility to replace polyester and nylon. But also on the product side, we are completely on the right track as we are Boost the Brand. These are the two pillars I just explained you, which is in CLAIM 5, and I feel good. And on top…
Yves Muller: If I may add to Daniel's comments, if you really go through the different growth engines, if we talk about the marketing campaign or start with Boost brands, we can clearly say today that the new campaign Boss’ are not born, Boss are made is even more successful than before. So this is one positive. On the business unit side, you clearly have to say that BOSS Camel gives us more opportunities going forward. And like we said during the call as well regarding wholesale partners, they are approaching us for more like franchise business going further to expand our business in regions like Saudi Arabia, in regions like Vietnam and regions like Eastern Europe, gives us more possibility to grow the business. So I think there are a lot of aspects where we just have started or for example, if you take the store network, we are in the middle of the renovation. We have now perhaps just renovated one quarter to one-third of those stores. So there is much more to come. We feel that we have inherent growth in our business and we will keep on going and moving forward to invest.
Chiara Battishini: Thank you.
Operator: We are now going over to our next question. And the next question comes from Michael Kuhn from Deutsche Bank. Please go ahead. Mr. Kuhn, your line is open.
Christian Stohr: Michael, are you there? Well then, operator, can I...
Operator: I will go over to the next question.
Christian Stohr: Yes, please go over to the next, Michael. I will get back to you after this call.
Operator: And the next question comes from Thierry Cota from Societe Generale. Please go ahead.
Thierry Cota: Yes. Good morning. Good morning, Daniel, even Christian. First, follow-up on the EBIT guidance for this year, two follow-up questions. First, do you confirm or reiterate what you said at the Q3 call, which is a freight tailwind for the gross margin of 50 basis points to 100 basis points for the year? And secondly, compared to the 7.9% A&P to sales spend last year, do you expect the number to stay more or less the same this year or to calm down? And then secondly, just on balance sheet KPIs, I'm just trying to reconcile all the numbers. So we had a very rapid inventory rise last year, which is under control, you said and voluntary, but the revenue guidance this year is much, much slower than the inventory rise we had. And at the same time, we expect -- you expect the inventory growth to slow materially this year, but also to have a rise of the working capital as a proportion of sales by 2 points. So I'm trying to reconcile all these different KPIs, if you can help me. Thank you.
Daniel Grieder: So actually, with your reconciliation, I didn't get somehow the real question behind and perhaps you can rephrase it in a more simple way, Thierry, if this is possible, what you're looking at specifically.
Thierry Cota: Well, I understand that they were comment here (ph), supply chain issues last year, and you wanted to protect yourself against any risk, but why would that constant currency inventory rise by over 50%, if this year, you only expect a 5% revenue growth? And if you expect the inventory growth to moderate considerably this year, what will be the figures for the working capital to rise by 2 percentage points as a percentage of sales between and '22 and '23?
Daniel Grieder: Okay. So the big -- I think the big understanding what you should have is that in 2022, we experienced big supply chain disruptions and this means actually that especially the goods and transit or the transportation time was much longer than it used to be. It actually was double the time from a shift from Asia to Europe, for example. So this led actually to higher goods in terms of overall as a technical effect plus this is one. And since we had a lot of, let's say, sold-out situation, especially with the core merchandise, we deliberately took the decision to increase the weekly coverages for this core merchandise. And this we're going to breathe out because these are merchandise that we can sell over different periods, different seasons. There is actually no inherent risk because you don't discount these kind of core merchandise products. And like I said during the presentation, we will somehow reduce the weekly coverages now in course of the year. And I think this will be the big time visible in the second half of the year of 2023. If you look at the EBIT margin, to put more -- or the EBIT guidance to put more color, like we said, we had a 7.9% of marketing spendings in 2022. We said during CLAIM 5, we want to be between 7% to 8% of group net sales. Of course, this always depends on how we've, let's say, finalized the group net sales. It means more or less that we were at the upper end of these kind of midterm guidance that we gave. And I would confirm as of today that we are more or less with marketing at the upper end of this guidance also for the year 2023. And you said something around the tailwind for freight costs. I can clearly confirm that the freight costs will come down, and this will be visible in the second half of the year. And actually, I will not comment what you were saying in terms of to quantify this, but this will be a big effect. It's not just only that the prices of the different shipments have come down. It's also the effect that due to the supply chain disruptions, we were forced to take more on the air freight and this will -- this has normalized now as well as an effect, and this will help the gross margin, especially for the second half of this year.
Thierry Cota: Okay. Well, this is very precise. Thank you. Just on the working capital rise as a proportion of sales, any particular factor to highlight?
Daniel Grieder: No, I think it's -- I think we had a very good position regarding the trade payables. I think that was really driving to the net trade working capital to an all-time low. If you look at the cash conversion cycle, we are now at below 80 days. So we have the best position during the year, and that was clearly driven by the supplier finance program.
Thierry Cota: Great. Thank you very much.
Operator: Thank you. This concludes the Q&A. I will hand the call over to Mr. Stohr So for the closing remarks. Please go ahead.
Christian Stohr: Yes. Great. Well, thank you, all of you for the many questions you asked. Some of you going beyond the two questions, which means that we will not be able to answer all questions that are still in the queue. I will get back to each and every one of you over the course of this afternoon. But this now officially completes our conference call and I look forward to staying in touch with you and wishing you a great rest of your week. Thank you very much and speak very soon. Bye-bye.
Operator: Ladies and gentlemen, thank you for attending. This conference has been concluded.